Operator: Good day and welcome everyone to the Resources Global Professionals fourth quarter fiscal 2008 earnings results conference call. This call is being recorded. At this time for opening remarks I would like to turn the call over to Kate Duchene, Chief Legal Officer; please go ahead.
Kate Duchene : Good afternoon everyone and thank you for participating with us today. Joining me are Don Murray our Executive Chairman, Thomas Christopoul, our Chief Executive Officer, Anthony Cherbak, our Executive Vice President of Operations and our Chief Financial Officer, Nate Franke. Thomas will speak first about the quarter's results, followed by Nate who will discuss the financial details, and then Anthony will conclude the prepared remarks for our call. During this call we will be providing you with comments on our results for the fourth quarter of fiscal 2008. By now you should have a copy of today's press release. If you need a copy and are unable to access the copy via our website, please call Patricia Marquez at 714-430-6314, and she will fax a copy to you. Before introducing Thomas, I would like to read an important announcement about certain statements that we may make during this call; specifically, we may make forward-looking statements. In other words, statements regarding future events or future financial performance of the company. We wish to caution you that such statements are just predictions and actual events or results may differ materially. We refer you to our 10-K report for the year ended May 31, 2007 for a discussion of some of the risks, uncertainties and other factors, such as seasonal and economic conditions that may cause our business, results of operations, and financial condition to differ materially from results of operations and financial conditions, expressed or implied, by forward-looking statements made during this call. I'll now turn the call over to Thomas Christopoul, our Chief Executive Officer, to give an overview of the fourth quarter.
Thomas Christopoul: Thanks Kate, good afternoon everyone and welcome to the Resources Global fourth quarter conference call. We’ll discuss our financial and operational performance of the business here today but before Anthony, Nate and I do that, I’d like to take a moment to acknowledge Don Murray, our Executive Chairman. Our CEO transition has really just started but it’s important to note that Don’s vision and his guidance of the company has really provided me the opportunity to assume leadership of an enterprise that I’m very happy, has tremendous growth prospects and is in excellent condition. CEO transitions can often signal underlying concern or challenge in a business. In this case nothing could be further from the truth. Don has and will continue to provide guidance and counsel to me and to resources and as you will hear during this call, that’s nothing but good news. I begun to work closely with the executive management team and collectively we are executing our strategy over the long-term. Recognizing the value this leadership team brings to the company we are in the process of modifying or entering into employment agreements with this group which we will disclose today. So turning to our results, total revenues for the fourth quarter of fiscal 2008 were the highest quarterly revenues in the company’s history at $236.7 million, that’s up 18% over the fourth quarter a year ago and 17% on a sequential basis. As we have previously noted our fourth quarter was comprised of 14 versus the typical 13 weeks. Average weekly revenue for the quarter totaled $16.9 million compared to $15.4 million in the prior year, which is an increase of 10%. Over the course of the quarter 26 offices hit new weekly revenue highs that were split evenly between domestic and international with 13 each. We finished fiscal 2008 with total revenue of $840 million which is an increase of 14% over fiscal 2007. If we adjust for the extra week of revenue in this fiscal year of 2008 just finished, our apples to apples growth rate would approximate 12%. Nate will provide additional details of recent revenue trends in his review of our financial information later on in this call. As fiscal 2008 comes to a close and we head into 2009 I’d like to speak to the strength of our business from my perspective as the new CEO of Resources. We are often categorized by analysts and investors as a staffing firm, but we are far from it. Resources helps its clients by providing influential capital on demand to accomplish a variety of client-driven internal initiatives. These initiatives can range in complexity from reconciling unbalanced inter-company accounts to applying fair value accounting to a portfolio of complex derivative instruments. A recent client satisfaction survey for work that we performed for a global Fortune 10 energy company we were rated 18% higher then our closest competitor on our ability to transfer knowledge and project data to the client. What this says is we are obviously able to help clients get things done while we ensure their ability to carry on after our work is completed. We are really proud of the client relationships we have built over the first 12 years that we’ve been in business. We’ve served 84% of the Fortune 100, almost 70% of the Fortune 500 and almost 60% of the Fortune 1000. Its great news that we do business with 570 of Fortune 1000 but its even better news that there are several hundred other companies in that category that we have yet to work with. We would not be able to claim such as impressive list of clients if it were not for our talented employees and associates. Don has spoken about the Resources’ circle of quality in the past which begins with our client service personnel identifying great clients with service needs to work for, and who [prevent] professionally stimulating and challenging work for our associates to do. Our associates come to us from a worldwide community of professionals with wide ranging skills and experience. They have developed that while working for some of the biggest companies around the globe. Our associates are intellectual capital and they allow us to become what our clients need us to do. In 2004 and 2005 we led our clients through the complex maze of SOX 404 implementation. We did not hire internal auditors to lead this important initiative, rather accounting and financial professionals who had great judgment from their many years of previous experience at the Big Four, or in consulting or private sector firms. As SOX became institutionalized these are the same associates who were redeployed on other projects within our various service lines and who have generated post-SOX growth for us even in light of the current economic trends. Our associates more then 40% of whom have advance degrees, average 18 to 20 years of experience. More the 45% have CPA certificates and more then 20% have licenses or certifications other then CPAs. This experience and pedigree gives us the ability to make an immediate difference on client project work or on initiatives that they pursue and obviously that response from our clients has been overwhelmingly positive as is demonstrated in our results. What happens when your focus is bringing uncompromising quality to your clients? Since inception 12 years ago this practice has grown from zero to over $840 million in revenue. Over the last five years our revenue has increased over 250% yielding a CAGR of 33%. We look forward to our continued growth opportunities in fiscal 2009 and beyond. And let me leave you with this thought before I turn the call over to our CFO, Resources Global is obviously a very unique human capital enterprise. We are not about staffing, we are not about search, we are not about strategy, and we are about solutions. That distinction originates in our associates, resonates with our clients and translates into our exceptional growth rates and margin. Now I’ll hand the call over to Nate who will go through a more detailed analysis of our financial results for the quarter.
Nate Franke: Thank you Thomas, revenues for the quarter grew 18% to $236.7 million versus $200.5 million in the comparable quarter a year ago and 17% sequentially from $202.8 million in the third quarter of fiscal 2008. For the 2008 fiscal year revenues were $840.3 million versus $735.9 million in fiscal 2007 representing growth of 14%. As we have previously discussed our fiscal 2008 fourth quarter and year consisted of 14 weeks and 53 weeks respectively while our fiscal 2007 fourth quarter and year consisted of 13 weeks and 52 weeks respectively. Revenues during the 14th week of our fourth quarter which included the Memorial Day holiday in the US were approximately $15.1 million, split 64% in the US and 36% internationally. Now let me discuss revenues geographically. For the fourth quarter revenues in the US were up 10% quarter-over-quarter and 15% on a sequential basis. For the year US revenues were $612.4 million increasing 9% from fiscal 2007. For the fourth quarter total revenues internationally were $68.2 million versus $47.8 million a year ago and $55.8 million in the third quarter of fiscal 2008, up 43% year-over-year and up 22% sequentially. International revenue accounted for 29% of total revenues for the quarter versus 28% last quarter. For fiscal 2008 international revenue accounted for 27% of total revenues. Europe’s fourth quarter revenue were up 44% quarter-over-quarter and 19% sequentially while the Asia Pacific region saw fourth quarter revenues up 35% quarter-over-quarter and up 42% sequentially. For fiscal 2008 Europe and Asia Pacific revenues were up 31% and 22% respectively from fiscal 2007 levels. Total revenues for The Netherlands [practice] and quarter in the fourth quarter excluding Domenica were $20.4 million, up 19% quarter-over-quarter and 11% sequentially. UK revenues were up 33% quarter-over-quarter and 33% sequentially. Domenica’s revenue during the quarter was $5.7 million. On a constant currency basis international revenues would have been lower by about $6.3 million in the fourth quarter using comparable fiscal 2007 conversion rates. On a constant currency basis and excluding acquired businesses revenue during the quarter international revenue grew 15% quarter-over-quarter. Let me now give you some information about revenue trends for the first quarter of fiscal 2009. Average weekly revenue for the first four weeks of the first quarter was $17 million and for the fifth week which included the July 4th holiday, revenue was $14.1 million. Using the average run rate for the first four weeks of the quarter and factoring in expected vacations, we would expect to achieve first quarter revenues between $209 million to $211 million. Please remember that all fiscal 2009 quarters consist of 13 weeks. Now let me discuss gross margins, gross margin for the fourth quarter was 39.4%, a 210 basis point improvement from our third quarter of fiscal 2008. Gross margin was 39.5% in the fourth quarter of fiscal 2007. Excluding reimbursable expenses our fourth quarter gross margin was 40.4% equivalent to the fourth quarter a year ago. The sequential quarter improvement stems in part from improved leverage of certain benefits earned by associates over a greater revenue base and improvement in bill versus pay ratios. The average billing rate for the fourth quarter was approximately $134 which is similar to the third quarter rate and represents an 8% increase from the $124 a year ago. The average pay rate for the fourth quarter was approximately $68 which is slightly below the $69 rate experienced in the third quarter and a 7% increase from $64 a year ago. Gross margin in the US was 40.5% and our international gross margin was 36.5%. For fiscal 2008 our consolidated gross margin was 38.3% versus 39.2% in fiscal 2007. We would anticipate first quarter 2009 consolidated gross margin to be down sequentially from the fourth quarter due to a decrease in leverage of associate benefits as we enter the traditional summer vacation season. Now to headcount, for the fourth quarter average associate FTE count was 3,220. This compares to 3,183 in the previous quarter and 3,180 in the year ago quarter. Quarter-end associate headcount was 3,490 versus 3,276 a year ago. The total headcount of the company was 4,366 at quarter-end. Now to the other components of our fourth quarter financial results, total selling, general and administrative expenses including stock compensation for the fourth quarter were $61.8 million or 26.1% of revenue, an improvement from the 28.4% of revenue in the third quarter of fiscal 2008. In last year’s fourth quarter total SG&A expenses were $51.6 million representing 25.7% of revenue. Total SG&A expenses were $57.5 million in the third quarter of fiscal 2008. As a percentage of revenue our SG&A expense leverage improved 230 basis points sequentially. This improvement stems primarily from spreading our SG&A expenses over an increased revenue base as well as a decrease in stock compensation expense and a reduction in non-essential business expenses during the fourth quarter. Stock compensation expense was $5.1 million or 2.1% of total revenue versus $6.1 million or 3% of total revenue in the third quarter of fiscal 2008. At the end of the fourth quarter we opened an office in Raleigh, North Carolina. The Raleigh market is home to 10 of the 26 Fortune 1000 companies that are headquartered in North Carolina, including [Via] Corporation, Martin Marrietta, RH Donnelly, and Haines Brands. As we reported at the end of the third quarter we closed our office in Grand Rapids, Michigan early in the fourth quarter so our office count remains at 89; 56 domestic and 33 in international locations. We have no current plans for new offices in the first quarter but continue to assess new markets we believe are important to our long-term growth objectives. Depreciation and amortization was $2.9 million for the quarter, up about $800,000 over last year’s fourth quarter as the result of our increased asset base. Interest income decreased by $2.1 million to $500,000 in the fourth quarter versus $2.6 million a year ago. Interest income decreased primarily due to a lower balance of cash available for investment after the dividend payment, stock repurchases, our two acquisitions and lower average interest rates earned on our invested cash. Based upon current interest rates, interest income is expected to remain at this level for at least the near-term. Our adjusted EBITDA or cash flow margin which we define as EBITDA before stock compensation expense was 15.4% in the fourth quarter compared to 11.9% in the third quarter of fiscal 2008 and 16.6% in the fourth quarter a year ago. For fiscal 2008 our cash flow margin was 13.9% versus 15.9% in fiscal 2007. Earnings for the quarter including stock compensation expense were $15.9 million or $0.35 on a diluted per share basis versus $16.1 million or $0.32 per share a year ago. For fiscal 2008 earnings were $42.2 million or $1.03 per share versus $54.8 million or $1.08 per share in fiscal 2007. As I previously mentioned in the fourth quarter the non-cash pre-tax charge for stock compensation was $5.1 million or about $0.09 per share versus $5.7 million or $0.08 per share in the comparable quarter a year ago. As we have discussed previously the past treatment of our incentive stock options under FAS B123R will likely cause continued volatility in our GAAP tax expense. The tax benefit for incentive stock option gets allocated to the balance sheet as paid in capital or to the income statement as the ISOs are exercised and sold depending upon the date the ISO vested. Therefore we receive no income statement benefit for a portion of the ISOs exercised in any given period. During the fourth quarter we continued to experience a decline in the number of ISOs exercised therefore decreasing the tax benefit related to ISOs for which we reported compensation expense of $2.1 million. As a result our GAAP tax rate was 45.1% for the quarter versus 42.8% in the comparable quarter a year ago. On a cash basis we will get a real tax deduction for all ISOs when they are exercised and ultimately sold. Our tax rate before the impact of stock compensation expense was approximately 41.4% for the fourth quarter and 40.5% for fiscal 2008. We would expect our pre-stock compensation tax rate to approximate our fiscal 2008 tax rate during the upcoming quarters. Now let me turn to our balance sheet. Cash and investments at fiscal year end were about $107 million. During the fourth quarter we used $21 million to buyback approximately 1.1 million shares of our common stock. To date we have utilized about $102.1 million of the $150 million authorized by our Board of Directors in July, 2007. Our shares outstanding at the end of the fiscal year were approximately 44.7 million. Receivables at quarter-end were $127 million, up by about $7 million from the previous quarter. Days of revenue outstanding were approximately 50 days, up one day from the prior year’s comparable quarter but two days lower then the third quarter of fiscal 2008. Now let me turn the call over to Anthony for some additional comment.
Anthony Cherbak: Thanks Nate, I’d first like to talk a little bit about our return of capital to shareholders during this fiscal year. As Nate mentioned during our fourth quarter we purchased another 1.1million shares of our common stock. For fiscal 2008 we have purchased a total of 4.8 million shares of our common stock for $102 million. Including the special dividend that we paid at the beginning of the year, we have returned approximately $163 million to shareholders throughout the course of fiscal 2008. As we enter fiscal 2009 we will continue to evaluate the most efficient and effective methods of returning capital to our shareholders which while considering the other capital requirements of growing our business. Our capacity to return capital to our shareholders and take advantage of market opportunities as they present themselves is driven by our ability to generate cash from our operations. Our adjusted EBITDA which is EBITDA before stock compensation expense was approximately $116 million in fiscal 2008 and has average over $111 million per year over the last three fiscal years. Cash flow from operations totaled $57 million in fiscal 2008 and has exceeded our net income by an average of 32% over the last three years. We believe these statistics are important in understanding the efficiency of our business model and the cash flow that it generates. Remember approximately 70% of our cash costs are variable which serves us well when the economy is booming and mitigates our exposure when things are tougher. Now I’d like to touch on the equity compensation within our employee benefit program. Our business model is very simple; it’s the execution that differentiates from our competitors. To attract and retain the talent needed to consistently execute our business model we have from inception provided equity incentives in the form of stock options to our employees as one of the key elements of their compensation package. One of the goals of our equity incentive plan is to more closely align our employees’ interest with those of all shareholders and drive teamwork throughout our organization which is needed to serve clients around the globe. All shareholders benefit from the value created by these employees. We are currently in the process of evaluating the future design of our equity incentive plan including the methodology behind individual award grants, the form of future equity grants which may include stock options, restricted stock or other equity instruments and participant levels for each category of award. This design evaluation will take into account or need to properly incentivize our employees while appropriately managing dilution to existing shareholders. It is our goal to reduce our equity plan burn rate while still providing compelling equity incentives to our employees. We hope our investors can appreciate the importance of equity based compensation to our employees and will be supportive of its continuance. Now let me focus on some information regarding our clients. In fiscal 2008 we had over 340 clients for each of whom we provided services exceeding $500,000 in fees, an increase of 14% over the number of clients we served at this fee level in fiscal 2007. Of these 340 clients, five exceeded $10 million in fees; 18 exceeded $5 million in fees; and 176 exceeded $1 million in fees. In fiscal 2008 revenues from our top 50 clients represented 34% of total revenues while 50% of our revenues came from 122 clients. This is consistent with our past experience and validates our strategy to target large companies with whom we can develop sustainable repeatable client relationships. Our business with financial services companies grew 18% year-over-year even with the adverse affects on such companies as a result of the credit crisis. Our largest client for the year was just over 2% of revenues. Client continuity continues to be solid. During fiscal 2008 we served all of our top 50 clients from fiscal year 2007 and 2006. Our loyal client following is reflective of our client service approach and our basic principal of always doing the right thing for our clients. In fiscal 2008 all of our top 50 clients have used more then one service line and 86% of those top 50 clients have used three or more service lines. This service line penetration reflects the diversity of the relationships that we have within our clients’ organizations. In fiscal 2008 we served 10% more clients then we did in 2007. Finally a service line update, res revenues grew 7% quarter-over-quarter and accounted for accounted for approximately 14% of total revenues in the fourth quarter of fiscal 2008 compared to 15% a year ago. Res revenue increased approximately 18% sequentially due in part to the 14 week fourth quarter and a large res project at a Fortune 50 client. Non-res service lines in aggregate grew 20% quarter-over-quarter. That concludes our prepared remarks and we would be happy to answer any of your questions at this time.
Operator: (Operator Instructions) Your first question comes from the line of Kevin McVeigh – Credit Suisse
Kevin McVeigh – Credit Suisse: I wanted to talk a little bit about the margins and the strength of the margins, to try to understand what drove that little bit in the quarter particularly given—I’d imagine conversion fees were pretty low but if you could give us some color around that.
Thomas Christopoul : I’d like to say at a high level that it come directly from the focus that the team had on addressing that really important element of our profitability and our margin—I’ll let Nate speak specifically to this in a second but I think the takeaway here is that this is a result of some very close attention and management to the cost side of our business and making sure that we manage our leverage in an appropriate fashion.
Anthony Cherbak: With regard to the conversion fees they remained relatively consistent with the past at about 0.5% of revenue so that was not really what I would call any significant impact and I think as Thomas pointed out this is really the results of what we’ve been talking about since the first quarter of the fiscal year of really focusing on the bill and the pay rates to get our margins back to what we believed are the appropriate levels. That said, clearly in certain respects we were helped by the 14th week during the quarter and the improved leverage that that revenue offered.
Thomas Christopoul: Our work on gross margin is far from done. This is going to be a focal point going forward into fiscal 2009 and beyond and is at the forefront of the minds of all of our managing directors across all of our company wide offices.
Kevin McVeigh – Credit Suisse: I wonder if you could—because there’s been so much talk about the current macro environment, it seems like you said a lot of success in passing through bill rates, what clients appetite was the bill rate increase and just under the current macro environment overall as it has been impacting the business.
Anthony Cherbak: I would tell you and again it really just echoing what Thomas has said, we believe we offer tremendous value to our clients and when you go back to the experience and qualification levels that Thomas mentioned at the beginning of the call, I think when our clients compare us to many of the alternatives they see the value and its just a matter of us having the discipline to approach the clients appropriately and again a lot of this was working to claw back the costs associated to the extra week of vacation that we granted at the very beginning of the fiscal year.
Thomas Christopoul: I think our optimism with respect to the positive leverage between bill and pay is tempered a little bit by the fact that this last 12 month period that we’re reporting for is perhaps the most challenging economic environment that most of us have seen in the last 15 years. I would say that we’re—we’re always focused on bill rate, we always want that to go in the right direction. Our clients have a [natural] economic orientation for it to go in the opposite direction but what we’re talking about here is a value proposition. So we’ve got to manage all through that. I would say we would like to be as assertive as we can around bill rate and we’re very happy that we can offer the value proposition we can to the clients but we’re also sensitive to the fact that in this economic environment price is something that is always something that’s viewed. So I would say its kind of a balanced view there.
Operator: Your next question comes from the line of James Janesky - Stifel Nicolaus
James Janesky - Stifel Nicolaus: When you look at the environment and in terms of your revenue generation would you say that you’re growing because you’re taking share possibly because companies are cutting back on permanent hiring and are more focused on the use of outside professional providers such as yourself, or do you feel that overall the market is growing and that the weaker economy is not having a significant effect as expected?
Thomas Christopoul: I’ll let you evaluate the competitive question with respect to our competitors based on their reporting of their earnings. Whether or not we’re taking share from them, I couldn’t tell you. We certainly don’t look at growing the business and the clients that we have as anything other then generating additional momentum for our associates and our business proposition. We don’t tend to look at other projects that other competitors are doing in order to poach them. So relative to share I can’t really comment. Relative to our competitors again, I’d direct you to their disclosure. What I would say is that we are seeing the benefit of what I believe is a real initiative based selling of our services and service lines across our clients and that may originate as an example in a res project and ultimately mean that we get invited in to work on IT or other lines of businesses. So I would say we’re seeing good traction in that. We’re not nearly done with that, but again I would say that that’s tempered by the fact that many of our clients especially in the financial services business are obviously dealing with challenges in the marketplace that they haven’t seen before. So to the extent that any factor internal or external is driving the need for our clients to manage change in the organization across whatever line of business or function that is, that represents an additional opportunity for us.
Anthony Cherbak: To the other piece is we are seeing our fair share of proposals and we certainly believe that we are winning our share so there is a fair amount of activity even though its still fairly difficult economic conditions.
James Janesky - Stifel Nicolaus: To the equity and compensation plan that’s under review, could you just clarify that a little bit, I missed your point about whether you feel that that will increase the amount of equity that you give to your associates and executives or do you think over time that will decrease the amount and therefore the amount that you have to amortize over time for stock-based compensation.
Anthony Cherbak: What I indicated in my remarks were that we were looking to reduce the burn rate within our equity plan so that we would look to issue less in terms of shares but we still view the equity incentive plan as a primary component of our employees pay packages and its very important to us and what I indicated at the end is that because we view this as such an important piece, we really look to our investors to support this when we come out with our proposals and our proxy.
James Janesky - Stifel Nicolaus: You mentioned about share count at the end of the quarter, 44.7 million, was that diluted?
Nate Franke: No that was just actual share count. The diluted shares at the end of May, they were used for the earnings per share computation were about 46.1 million shares.
James Janesky - Stifel Nicolaus: But did you buyback your shares more towards the end of the quarter so we would expect diluted shares to go down sequentially?
Nate Franke: I think they were really bought back probably I would say evenly through the first eight weeks.
Operator: Your next question comes from the line of Brandt Sakakeeny - Deutsche Bank
Brandt Sakakeeny - Deutsche Bank: Curious if you saw in the fourth quarter any demand from IFRS activity?
Nate Franke: We have had a number of what I would call seminars that we have put on in various cities and those have been extremely well attended and I think we have probably our initial engagements at a small number of clients that have just recently begun.
Brandt Sakakeeny - Deutsche Bank: I think you said sequentially gross margin would be down which we would imagine but year-over-year they should be up correct? Ex the adjustment for pass-throughs.
Nate Franke: Yes, I think that’s right. I think we won’t see the level of decline that we saw from Q4 2007 to Q1 2008. My sense is that if we look at somewhere in between the margins between Q1 and Q2 of 2008.
Brandt Sakakeeny - Deutsche Bank: If you look at the Q4 change, so Q4 2007 to Q4 2008 they were down bps on an absolute basis right but up on an adjusted basis for the pass-through so this Q1 2009 they should be somewhat similar right because you would expect to get a little more retracement of that pay rate/bill rate issue again?
Nate Franke: That’s correct.
Brandt Sakakeeny - Deutsche Bank: You went through the constant currency adjusted 13 week growth rate for The Netherlands and international, could you give us that again?
Nate Franke: I think what I had said was that on a constant currency basis, international revenues would have been lower by about $6.3 million in the fourth quarter using the comparable fiscal 2007 conversion rates and then on a constant currency basis and excluding the acquired businesses revenue during the quarter, international revenue grew at 15% quarter-over-quarter.
Brandt Sakakeeny - Deutsche Bank: Does that include the extra week or no?
Nate Franke: Yes.
Brandt Sakakeeny - Deutsche Bank: So the $6.3 million contraction does that include or exclude the extra week?
Nate Franke: The extra week is in that.
Brandt Sakakeeny - Deutsche Bank: So anything in particular on the international side I guess that was driving that performance?
Thomas Christopoul: We had a very strong performance in the UK that was not affected by currency because there wasn’t much movement between the pound and the dollar so they were up 33%. The Netherlands because the currency is the euro was a little bit more affected by the currency but still they were up. So we saw a nice growth really across all of our international businesses both in Europe and in Asia, Japan and Hong Kong were up nicely as well.
Brandt Sakakeeny - Deutsche Bank: As you look out to annual FY09 any reason you wouldn’t see a renewal of margin expansion. So if 2008 was an investment year where you saw the EBITDA contract and fall, is your expectation that you should grow EBITDA and by that I mean sort of adjusted EBITDA in excess of revenue or in line with revenue?
Nate Franke: My sense is that it might grow slightly better then the revenue just based on some improved leverage in certain areas but I think it’s early in the year and obviously we’re real focused on our operating margins but we haven’t really made what I would call any long-term forecasts.
Brandt Sakakeeny - Deutsche Bank: But absent the [inaudible] of the economy--
Thomas Christopoul: I assume that what you meant was you [not] want me to comment on where the economy is going because who knows, but—
Brandt Sakakeeny - Deutsche Bank: Right absent that, I’m sort of more interested in specifically corporate initiatives either positively or negatively that could affect the margin one way or the other—due to last year’s vacation policy.
Thomas Christopoul: I would say nothing exogenous with respect to anything positive or negative and so our view is we’d like to continue to manage the trends in the direction that they’re going clearly.
Operator: Your next question comes from the line of Michel Morin – Merrill Lynch
Michel Morin – Merrill Lynch: I just wanted to clarify on the res client that you’ve picked up in the fourth quarter, is that an ongoing project and was that in the US or international?
Anthony Cherbak: It was in the US and it is an ongoing project and it was picked up prior to the fourth quarter.
Michel Morin – Merrill Lynch: You talked about the bill rates they are flat sequentially, is that a function of maybe mix or is there just maybe a little bit less momentum there relative to what we had seen in the last couple of quarters?
Nate Franke: I think what we said is it remained flat sequentially. Again its up slightly but it rounds to the same number and I think some of it is mix but I think clearly as Thomas pointed out we’re seeking the rate increases, we’ve made headway but on a rounded basis, it did round to flat but its actually up slightly.
Michel Morin – Merrill Lynch: In terms of the extra week did that help you at all on the margin front? Either gross margin or operating?
Nate Franke: Yes I think in both cases it helped. There are certain of the associate benefits we achieved a little bit of extra leverage from that and then clearly while a majority of our expenses are compensation in which there isn’t leverage, things like occupancy costs, and items like that we are able to leverage the extra week.
Michel Morin – Merrill Lynch: In terms of the revenue run rate I’m just curious as to how you came to the $209 to $211, I realize the summer months tend to be slower but if you go back to the last couple of years, it does look like you still managed to generate some growth in the back half of the quarter if you will relative to the first few weeks of the quarter and it seems from the numbers you’ve provided us that that’s not your assumption for this year, am I thinking of that correctly?
Nate Franke: I think what you have to remember is this is really just a mathematical calculation, it does not factor in a growth estimate and so what we have done is taken the actual revenues that we had for the first five weeks but because of the July 4th holiday, we took the average of the first four weeks and made an estimate of vacation time to be taken and used that to calculate the $209 to $211. There is not a growth rate assumption in that range of $209 to $211; it’s really just based on actual revenue during the first few weeks of the quarter.
Operator: Your next question comes from the line of Andrew Steinerman – JP Morgan
Andrew Steinerman – JP Morgan: You’ve talked a little bit about SG&A [staying levered] because of the revenue growth was there anything happening within the SG&A line before the stock comp expenses specifically in the May quarter versus the February quarter in terms of expense management and more importantly as we look into the next quarter do you feel like that we could keep this level of efficiency at 24% of revenues or because of seasonality does the SG&A percentage level go back up?
Nate Franke: I think that again here’s probably what I would look at is that you’re looking into Q1, I don’t think we will see the same leverage that we experienced in Q4 mainly because of that extra week and as I pointed out there are certain elements of our expense structure that gained from that extra week of leverage. I think if you look back to probable the SG&A spend back in Q3 we are actively focused on managing SG&A but from an absolute dollar standpoint I think Q3 would provide a rough approximation of what we might be trying to manage to but some of that will depend upon our revenue levels.
Anthony Cherbak: I just want to remind you that roughly 66% of our SG&A is made up of people costs so really some of the opportunity that we have focused on is just trying to cut non-essential business expenses where we can, try to absorb some of the normal attrition that we might see in terms of our people costs, but our focus is going to be on trying to keep that absolute dollar spend like Nate says roughly the third quarter spend in SG&A or if you just converted the 14th week out of the fourth quarter we tried to keep the absolute dollar spend on SG&A pretty constant.
Andrew Steinerman – JP Morgan: And when you say constant you mean the August quarter versus the May quarter right?
Anthony Cherbak: Constant dollars.
Andrew Steinerman – JP Morgan: The $57 million before stock comp?
Anthony Cherbak: Right, that’s the goal.
Operator: Your next question comes from the line of Gary Bisbee - Lehman Brothers
Gary Bisbee - Lehman Brothers: People have asked around the impact of the extra week on margins but I wonder if you’d quantify it for us both on the gross margin and the operating margin and what the benefit was.
Nate Franke: You know we did not go to that level; you’d have to make assumptions between each expense category so we didn’t go to that effort.
Thomas Christopoul: We’re trying to respond, that’s not something that we would say is meaningful so--
Gary Bisbee - Lehman Brothers: Obviously I’m going in the same line--and trying to understand okay, you had great leverage but my guess is a material piece of that was the extra revenue and so trying to understand how that margin is going to look over the next quarter to without the $15 million of extra revenue I guess is the question.
Nate Franke: Again we did not go through and try to dissect each element of expense but I think Anthony commented that roughly 67%, 68% of our expenses are people costs which whether there’s 13 or 14 weeks those are in the P&L. It’s the remainder of the expenses, some of those are if you looked at them there would be 14 weeks of expenses, but then there are other things like rent that is basically paid on a monthly basis that you would get some leverage on. So that would give you probably some ballpark estimates that, that remaining 32% of the expenses not all of that is leverage but its some portion and to be honest with you we just didn’t quantify it. It would be somewhat based on a whole bunch of different assumptions.
Gary Bisbee - Lehman Brothers: Let me try to ask a similar question on the gross margin you did mention that there were some employee benefits that you would get a bit of leverage, obviously that’s got to be a much smaller piece impact on that line, do you have any sense what those benefits costs are in relation to total people costs, in other words, was it a material impact on the gross margin or are we taking 10 or 20 basis points?
Anthony Cherbak: I think maybe a better way to look at the gross margin was just in terms of Nate’s earlier comments where we are looking at the go forward gross margin at somewhere—its going to be greater then it was last year because we don’t have the additional holiday, but its going to somewhat less then the fourth quarter because we don’t have 14 weeks of revenue to over-leverage those gross margin expenses.
Gary Bisbee - Lehman Brothers: I understand you’re giving us more detail in your proxy on the stock comp, is it a reasonable place for us to be in the near-term having that expense line be similar to what you reported in the May quarter or would it maybe bounce back up to the $6 million range where it had been--?
Nate Franke: If you look at each of the quarters in fiscal 2008 I think the average was about $5.6 million. My guess is that if you look out we would be probably maybe $400,000 less then that averaged somewhere around $5.2 million $5.3 million. Again that can vary quarter to quarter but I think that would be a range.
Gary Bisbee - Lehman Brothers: I know you passed on the question about the economy earlier, but can you give us any sense of demand trends you’re seeing by the various geographies and how they’ve changed. I think in past calls you’ve commented that some of the markets on the coast have been stronger in the US then some of the areas that might have had more manufacturing or parts of the economy that were weaker in the mid-west and in the south might have been a bit weaker, any updated commentary there and also specifically would like any comments like that that you’d give on Europe relative to the US.
Anthony Cherbak: First of all, relative to the—the north east has been very strong for us all year long and as we indicated earlier our business with financial institutions which I think a lot of people questioned earlier in the year relative to its strength in light of the credit crisis has been good and certainly those financial institutions are mostly clustered up in the north east corner. So that’s been a very strong region for us all year long. I’d also say that our central region has been better this year then it has in the past and I’d say that the west coast has been a little bit flatter however there are certain pockets of the west coast in which we’ve had very significant client activity. If you move to our international operations I think we’ve said earlier in the call that the UK was very strong. They’ve done a really nice job this year of repositioning their practice and have seen the growth reward. Throughout the balance of Europe we’re still very strong in the Scandinavian areas, and then if we move over to Asia, we had a great performance again in the fourth quarter from Japan which always seems to be strong for us as well as Hong Kong. So that’s kind of a look across the landscape relative to the strength of our regions.
Gary Bisbee - Lehman Brothers: Any updates on where you’re thinking about new opportunities for new practice areas or are you pretty comfortable with the areas you’ve been talking about over the last couple of years?
Thomas Christopoul: We’re very comfortable with our footprint and I would repeat what Nate said, we’re not planning to open any specific offices, we don’t have a team out there looking at any cities for new office space and I would say that we’re just as likely to be brought into a new location, a new practice location by a client need as we are about some strategic view about how much a specific area of the world might be of interest to us. Having said that I would say probably at this time next year, we’ll be reporting that our net office count has gone up not down but by no more then a handful of offices and I would say that those offices are disproportionately going to be outside of North America. But that’s not to say that it wouldn’t happen. Where our clients’ footprints are and where their initiatives take us, we go.
Operator: Your next question comes from the line of Mark Marcon – Robert W. Baird & Co.
Mark Marcon – Robert W. Baird & Co.: You mentioned that financial services is up, is that something that you would anticipate would continue to improve or how are you thinking about that?
Anthony Cherbak: We’ve always had a very strong financial services practice, if I look across the universe of our financial services clients, we have multiple initiatives at very big companies so I would anticipate it to be continued contributor to our growth.
Thomas Christopoul: Having said that, of our top ten clients at the end of the year, we would categorize three of them in the financial services business. So while we’re seeing probably decent growth that I would probably say is client oriented and it’s certainly not secular to the industry across at least our business. But you could sort of make your own conclusions around where it might go.
Mark Marcon – Robert W. Baird & Co.: But your general sense is that that should continue to grow and is that roughly about 20% of your business is financial services companies?
Anthony Cherbak: That’s what we have disclosed in the past.
Mark Marcon – Robert W. Baird & Co.: Res, did that pick up exclusive of the extra week?
Anthony Cherbak: Everything that we have disclosed relative to financial performance in our comments today is including the 14th weeks so certainly a piece of the res growth was the 14th week but a piece of it was also a very large project that we are doing for one of the Fortune 50 clients.
Thomas Christopoul: Yes, except where Nate’s comments in the earlier prepared remarks accepted that week, you can throw everything into that bucket.
Mark Marcon – Robert W. Baird & Co.: So essentially res was flat year-over-year if we’re looking at it on a daily adjusted basis which is still good progress because that had been declining, is that correct?
Thomas Christopoul: That’s correct.
Mark Marcon – Robert W. Baird & Co.: And is it your sense that that’s stabilized at this point or was it just because of that one specific project but outside of that thing, its still declining but probably at a lower rate?
Anthony Cherbak: Again we get requests from various different clients via the RFP process to help them with their res work, it’s something that our people are trying to proactively sell but as we’ve talked about in the past we don’t necessarily view declines necessarily in the res business to predict the health of our business because we redeploy our associates. When they’re not working on res projects they can be redeployed onto to accounting and finance, IT and the like. So in essence we are basically attacking whatever our clients’ needs are whether it res, accounting and finance, supply chain management, human capital, any of our other service lines.
Mark Marcon – Robert W. Baird & Co.: And then your comments about the gross margins basically going back to somewhere between the levels that you experienced between Q1 and Q2, is that inclusive of the discussion about and you had mentioned this at the front end, the new management compensation agreements, is that inclusive of that or--?
Thomas Christopoul: No, no need to adjust your models for that. All we’ve done is we’ve taken the current compensation arrangements for the existing executive vice presidents of the company, those are the four individuals who report to me directly and we’ve memorialized them into a three year term employment agreement and that’s merely to demonstrate the commitment that that group has to the organization and the organization’s commitment to that group. One of the things that I was asked a lot of is what might this mean? What might this CEO transition mean to the executive team here? And all I’m doing and all the compensation committee at The Board is doing is demonstrating that we’re putting our money where our mouth is with respect to the retention of these executives. There is nothing there to model.
Mark Marcon – Robert W. Baird & Co.: So there’s no—so basically the comment that I made earlier about gross margin basically going to between the level of Q1 and Q2 of 2008 that holds firm and then when we’re looking at SG&A it seemed like the way you were phrasing was that that would probably go to the same level as a percentage of revenue that you experienced during Q3 of 2008, was that correct?
Nate Franke: No I think what we were directing you to is the dollar spend in Q3, not on a percentage basis but that dollar spend.
Mark Marcon – Robert W. Baird & Co.: Did you have all of Domenica in Q3 of 2008?
Nate Franke: We had all but like three weeks.
Mark Marcon – Robert W. Baird & Co.: CapEx what are the plans there?
Nate Franke: I would expect that for the course of fiscal 2009 probably around $12 million. That will vary by quarter a little bit but I think that’s kind of the belief.
Mark Marcon – Robert W. Baird & Co.: When we just look at the year-over-year comparisons, do you benefit in Q1 of 2009 relative to Q1 of 2008 just in terms of the timing of the holidays and which quarters they feel into?
Nate Franke: There’ll be a very slight benefit because Memorial Day was in Q4 of fiscal 2008 versus Q1 in the prior fiscal year.
Mark Marcon – Robert W. Baird & Co.: And then the timing of July 4th, that was a little bit more beneficial as well?
Nate Franke: A little bit more beneficial but again I think you have to keep in mind the higher number of associates have a third week of vacation so there’s probably a little bit of a offsetting impact.
Mark Marcon – Robert W. Baird & Co.: And then it looked like you had good success in terms of recruiting additional associates, is there any concern among associates in terms of the economic environment and that I need to find a place is permanent or is the flexibility still attractive?
Thomas Christopoul: Well first of all we never take it for granted, so I would never say that it’s something that we just assume we’re going to be able to do. I can’t speculate on the mind of our associates, but I’ll tell you that I think our business model appeals to individuals who fit our category who we recruit and in this kind of environment we may very well be an excellent choice for people in that category as they look at the uncertainty in the marketplace because they know that we work hard on their behalf to find them assignments not just with the client that they’re currently assigned to but to many of our other clients around the world. So that’s a big benefit from their standpoint relative to working with us.
Mark Marcon – Robert W. Baird & Co.: Do the current challenges that are out there, do those actually create some opportunities in terms of people that you’re potentially seeing that you may not have seen before?
Thomas Christopoul: I wouldn’t say that we have a recruiting strategy designed to take advantage of the market such as it is but I think it definitely plays to the conversation that we have with a potential associate when it comes to the value proposition that we can provide them.
Operator: Your next question comes from the line of Scott Schneeberger - Oppenheimer & Co.
Scott Schneeberger - Oppenheimer & Co.: I’m curious about the duration of some of the contracts that you have, you mentioned winning a big project recently and that being ongoing, could you talk a little bit about what the visibility is into your business, what type of average length of duration across the segments you see?
Anthony Cherbak: We’ve talked in the past and we’ve gotten a lot of questions about what’s the average length of your contract and our contract—if we had to throw an average on it I’d say its maybe somewhere between three and six months but the facts of the matter are is sometimes we might go out to a client for a two week engagement and it ends up being 24 months. So it really depends on getting inside the client’s organization which I think that we do pretty well, and diversifying our relationships within that organization and trying to help them with whatever their burning internal initiatives are. I’ll give you a case in point, we have one client in the mid west right now in which we have 74 associates on this particular client and that’s across probably 12 different projects and that’s not even our largest client. So what I’m trying to say is that you never know once you get into the client what the ultimate duration is going to be because a lot of times the clients love our associates and they tend to keep us on going from project to project to project.
Thomas Christopoul: Let me dimensionalize it, I don’t know if its relevant or certainly its relevant but I guess what my comment is, the length of let’s call it the engagement contract or whatever documentation supports that, would not in any way be able to predict our client continuity. So while an engagement might be a 90 to 180 day project, you have to bear in mind that we continue to keep great client continuity with our top clients so we may have different types of associates deployed on different types of projects but the same client that Anthony is talking about is likely to be a client for us three years from now although clearly the project under which our associates work will be have been over by that period of time.
Scott Schneeberger - Oppenheimer & Co.: The Domenica run rate is that going to be consistent with what we have seen, that looks like that’s working out favorably, should we continue to look for this this quarterly run?
Nate Franke: Yes I think that’s an accurate assessment.
Scott Schneeberger - Oppenheimer & Co.: Building off that, you mentioned that maybe not immediately, not in this first quarter but over this fiscal year we’ll see more offices then less offices—organic builds or and it seems like you’re looking internationally, is there an active pipeline right now that you’re looking at acquisition-wise?
Thomas Christopoul: Well part of your question I’d answer by saying probably both. We’ll obviously continue to look opportunistically at acquisitions although as this group has told you before and Don has mentioned many time, we’re far from having an appetite for a bet-the-firm type of an acquisition. We’ll look across geographies, we’ll look across service lines, and we’ll look across profession skill sets to see where those opportunities are and they’ll tend to be smaller, typical bolt-on types of acquisitions that we’ve seen in the past. So the answer is there’s an active pipeline but it’s not as if we’ve got 50 people deployed on diligence around the globe. So I would say our growth story continues to be primarily an organic one, that’s augmented by acquisition growth where we think it makes sense geographically and where the culture of that acquisition can fit into the Resources’ model which as you guys know, we take pretty seriously as an asset of the company.
Scott Schneeberger - Oppenheimer & Co.: What type of cash balance do you look to maintain, is that something—still a sizable authorization out there for your repurchase, how well were you comfortable going on what you hold?
Nate Franke: I don’t think we have a set amount of—I think as Thomas mentioned it depends on the opportunity at hand so we don’t really have a fixed amount that we have keyed in on that we need to maintain on the balance sheet. That said, we take a lot of pride in the strength in our balance sheet.
Thomas Christopoul: Having a target for cash on the balance sheet would be too static of a goal to have for us. We’ve got to do what every company should do which is balance the cash needs of the business with investment opportunities. We’ve always been conservative. We expect that we’ll continue to be but we always look at balancing return of capital to shareholders as an important goal of what we do with the cash that we generate so whether that’s in continued buyback of stock, which obviously is a tax efficient mechanism of the reduction of dilution or through evaluating dividends. That’s something that we—that’s not a one-shot deal. We look at that relative to where we are, where we expect to be in the marketplace and candidly where the marketplace is, which is as you all know, has been uncertain over the last little while.
Operator: That concludes our question-and-answer session. I’d like to turn the conference back to Thomas Christopoul for any closing remarks.
Thomas Christopoul: I just want to say thanks for attending the call. We are obviously very pleased to be able to report these results again especially in light of the economic environment. You’ve got an organization here that you’re invested in and that you follow that is obviously very committed to growth and has a great track record and again I just want to thank Don for his support and let you all know that we hope that this is a good example of how you should expect this transition to go in the future. We remain quite confident about our business. So thanks and we’ll talk to you next quarter.